Operator: Ladies and gentlemen, thank you for standing by, and welcome to Avery Dennison's Earnings Conference Call for the third quarter ended September 28, 2013. [Operator Instructions] This call is being recorded and will be available for replay from 1 p.m. Pacific Time today through midnight Pacific Time, October 28. To access the replay, please dial 1 (800) 633-8284 or (402) 977-9140 for international callers. The conference ID number is 21610814. I would now like to turn the call over to Eric Leeds, Avery Dennison's Head of Investor Relations. You may begin, sir.
Eric Leeds: Thank you. Welcome, everyone. Today, we'll discuss our preliminary unaudited third quarter 2013 results. Please note that unless otherwise indicated, today's discussion will be focused on continuing operations. The company's Office and Consumer Products and Designed and Engineered Solutions businesses are classified on our income statement as discontinued operations. The company completed the sale of these businesses on July 1 at the beginning of the third quarter. The non-GAAP financial measures that we use are defined, qualified and reconciled with GAAP in schedules A-2 to A-5 of the financial statements accompanying today's earnings release. We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the Safe Harbor statement included in today's earnings release. On the call today are Dean Scarborough, Chairman, President and CEO; and Mitch Butier, Senior Vice President and CFO. I'll now turn the call over to Dean.
Dean A. Scarborough: Thanks, Eric, and good day, everyone. I'm very pleased to report our fifth consecutive quarter of better than 30% growth in adjusted earnings per share, reflecting the successful execution of restructuring actions and other productivity initiatives, as well as solid sales growth in both of our core businesses. Emerging markets continued to be a key growth driver for Pressure-sensitive Materials in the third quarter. We also saw solid growth in our European business. Given the tough conditions in this market, I have been happy to see continued growth here. Overall, sales growth slowed in September, particularly in North America, with a number of our domestic customers citing some softening of end market demand. We have seen better results in the first few weeks of October, but with heightened uncertainty among consumers, we remain somewhat cautious about the trend. RBIS also delivered solid growth in the quarter even with some tough headwinds from last year's strong showing. With another solid quarter behind us, we raised our adjusted earnings guidance for the year with an eye on the uncertainty and demand trends in North America. We remain committed to our disciplined capital allocation strategy. In the first 9 months, we returned over $300 million to shareholders, including the repurchase of approximately 5.2 million shares. Given our strong balance sheet, I'm happy to say that the vast majority of the proceeds from our divestitures remains available for distribution to shareholders with just a couple of carve-outs. In September, we used $10 million of the proceeds for a special contribution to the Avery Dennison Foundation, which invests in education and sustainability projects in the communities in which we operate. And earlier this month, we used $50 million to reduce our pension liability. Now I'll provide a few highlights for each of our core businesses. Pressure-sensitive Materials generated solid top line growth, with better-than-average growth in emerging markets. We're seeing excitement in the market with our slate of new products introduced at Labelexpo, the labeling industry's annual trade show, which took place in Brussels last month. As the industry leader, one of our key distinguishing features is the consistent stream of enhancements we bring to the market in terms of the appearance, functionality and cost of our products. Our innovation efforts addressed all 3 of these key differentiators, and all were on display at this year's show. I'll share just a few examples from the 17 innovations we presented at the show. We introduced improved films for durable labeling applications, including a self-over-laminating roll system that creates protected graphics at roughly 30% lower cost, both in terms of raw material savings, as well as operational savings for converters. With this new system, what used to take 2 rolls of material can now be produced with one. We also introduced thinner, clearer and cleaner films for traditional label applications. For example, one product we featured at the show demonstrated reduced adhesive ooze, which enables faster and more consistent processing times at our direct customer and at the end user, reducing operating cost for both. The engineering of thinner materials continues to drive profitable growth at lower price points while also benefiting the environment. It's a triple win: good for us, good for our customers and good for the planet. Speaking of which, sustainability is another key theme for many of our innovations. Our new clean slate material was designed to increase the percentage of recycling output for reuse in new PET bottles. As a result of this innovation, the Pressure-sensitive label can be separated cleanly from the PET flake during the standard recycling process, significantly improving the recycling yield. This technology makes Pressure-sensitive labeling more competitive for recycled containers and could open significant new markets for us. With 2 billion PET bottles going into landfill every year, this is an important step forward for the packaging industry. While emerging markets and innovation drive our top line growth engine, operating margin expansion remains another key to value creation for Pressure-sensitive Materials. We once again topped the high end of our margin target range for this segment this quarter, driven by continued intense focus on productivity. Retail Branding and Information Solutions continues to make tremendous progress with its fifth consecutive quarter of solid sales growth and margin expansion. Over the past 2 years, RBIS has delivered over 200 basis points of margin improvement, and we are on track to deliver on our margin targets for 2015. We are in the middle stages of a multi-year transformation of this business, and I am pleased with the milestones we have achieved. We've had a good record of share gain over the past few years, with solid progress in our key segments, continued momentum in RFID and brand embellishments, as well as strong growth in our still small but important new markets of Japan, South America and Russia. I'm very pleased with the gains we're seeing in RFID. We've commented before on the slower growth of these products and services in 2013 related to a large pipeline sale by 1 customer last year that did not repeat. But even with the headwinds from this event, the team still delivered 6% growth in the third quarter, and is projected to deliver 20% growth for the full year as we've captured new business in Europe. We're targeting continued strong growth for this $100 million part of the business over the next few years. The value proposition here is all about inventory management. Retailers are seeing good ROIs from their RFID implementations, and we remain the leading provider in the apparel space by combining the best-performing products with an in-depth understanding of the use case, that is, understanding exactly how our customers can maximize the return on investment in equipment and consumable products. We're currently working on new rollouts for significant expansions of existing programs with 7 major retailers across multiple market segments. We're right on target for the changes to our new lower-cost operating model. Since 2011, we've reduced our factory footprint by almost 15% without sacrificing capacity or service. In fact, service continues to improve, contributing to our market share gain. We're implementing a hub-and-spoke operating model. In other words, we'll continue to operate a few large sites with a broad range of production capabilities, while fast response units deliver a more targeted range of products, utilizing a much smaller manufacturing footprint at substantially lower operating cost. At the same time, we're increasing our digital printing capacity. We've increased this capacity by 60% over the past 2 years, and by the end of this year, over 1/3 of our graphic tags and labels will be produced with digital printers. We're targeting to increase that share to over half of our total production. This fundamental shift in operating strategy allows us to produce smaller quantities with greater frequency and reduced lead time, which is more in sync with customer needs. At the same time, we improve quality, consistency and repeatability of production runs while more effectively incorporating variable data and other unique features into our products. With strong leadership positions in our core businesses, our ability to maintain already higher returns in Pressure-sensitive Materials and significantly expand profitability in RBIS, I am confident we will deliver on our financial targets for the year and over the longer term. Now I'll turn it over to Mitch.
Mitchell R. Butier: Thanks, Dean. We delivered another solid quarter with 3.6% organic sales growth and adjusted earnings per share of $0.69, which was at the higher end of our expectations. The 35% increase in earnings was driven by productivity, principally restructuring, as well as continued solid top line growth in RBIS and the emerging markets for Pressure-sensitive Materials. The quarter also benefited by about $0.02 from a lower tax rate. Adjusted operating margin in the quarter grew 120 basis points to 7.7% as the benefit of our productivity initiatives and higher volume more than offset the impact of product mix in Pressure-sensitive Materials and higher employee-related expenses in Retail Branding and Information Solutions. As mentioned, the productivity improvements were primarily the result of the successful implementation of the restructuring program we initiated last year. We continue to execute our plan to reduce fixed cost and realize a further $5 million in the quarter, bringing the total annualized savings for this restructuring program to $110 million. Year-to-date, free cash flow from continuing operations was $105 million, comparable to prior year. As of the end of the quarter, net proceeds from the sale of OCP and DES were $402 million, including the year-to-date negative cash flow from the underlying businesses we divested, as well as the transaction costs and tax payments related to the deal paid thus far. We anticipate an additional $10 million to $15 million of deal-related cash outflow in the fourth quarter, related primarily to tax payments and transaction costs. So the final net proceeds are expected to come in around $390 million. As Dean mentioned, we're using most of these proceeds to repurchase shares and reduce indebtedness, which includes underfunded pension plans. To that end, subsequent to the end of the quarter, we used $50 million of the net proceeds to make supplemental pension plan contributions. In light of these contributions and the effect of rising discount rates, we are currently comfortable with our pension funding status. Given that the proceeds were received in the third quarter, we currently have no outstanding commercial paper and have higher-than-normal cash levels. While our stated long-term leverage target is net debt-to-EBITDA of less than 2x, we ended the third quarter at 1.2x. This is mostly due to the timing difference between when we received the divestiture proceeds and when we can optimally deploy them. We believe the right long-term net debt-to-EBITDA leverage ratio for us is between 1.7 to 2x, which, combined with our consistently strong free cash flow, gives us ample capacity to return cash to shareholders over the coming years. Speaking of which, we repurchased an additional 1.7 million shares for $75 million in the third quarter. Turning to the segments. Pressure-sensitive Materials sales were up 3.5% on an organic basis in the third quarter. Label and Packaging Materials sales were up low single digits on an organic basis, while the combined sales for Graphics, Reflective and Performance Tapes increased mid single-digits. On a regional basis, sales for the segment were relatively flat in North America, were up mid-single digits in Western Europe and grew upper single-digits in emerging markets. Looking at the trends within the quarter, sales in July and August were strong, but the business slowed in September, most prominently in North America. PSM's adjusted operating margin improved 120 basis points to 10.5%, due primarily to the benefit of productivity initiatives. Retail Branding and Information Solutions sales grew 3.7%, reflecting strong demand among European retailers and brands. Sales to North American retailers were down modestly in the third quarter due to tougher comps in RFID. Excluding RFID, sales growth slowed in North America, driven by moderating demand among a number of retailers. Now despite the tougher comps in North America, RFID revenue grew 6% globally, as Dean mentioned, contributing roughly 0.5 point to RBIS' overall sales growth. RBIS' adjusted operating margin improved 100 basis points to 5.9%, as the benefit of productivity initiatives and higher volume more than offset higher employee-related expenses. Sales in our other specialty converting businesses grew 4.8%, reflecting modest growth in our medical business, the only component of other specialty converting beginning this year. The operating loss in this business was much smaller than last year and last quarter, as one of our partners contributed to the cost of developing a new product in the pipeline. Moving on to the outlook. We now expect adjusted 2013 earnings per share from continuing operations of $2.60 to $2.70 and free cash flow from continuing operations of $275 million to $315 million. Our guidance is based on a number of assumptions, including the key factors listed on Slide 8, to highlight a few. Our estimate for organic sales growth in 2013 is now 3.5% to 4%. Obviously, the macro environment remains uncertain, and as you know, the nature of our business gives us limited forward visibility. Our sales outlook for the remainder of the year reflects, at the low end, a continuation of the weak trends that we experienced in September. Full year savings from restructuring actions is now estimated at approximately $75 million, and restructuring costs and other items that are adjustments to GAAP results are now expected to be approximately $30 million pretax. Compared to our July outlook, the increase in adjustment items relates primarily to the $10 million contribution to the Avery Dennison Foundation from the divestiture proceeds, as well as higher costs associated with new restructuring actions. As mentioned, we utilized a portion of our net proceeds from the divestitures to also contribute an additional $50 million to our pension plans, bringing total pension contributions to approximately $110 million for the year. In summary, we are on track to deliver our 2015 targets. We've had a solid 9 months in a year in which we expect to deliver adjusted EPS growth of between 33% and 38%. Our 2 core businesses are market leaders and are well-positioned for profitable growth, which, combined with our continued cost and capital discipline, enables us to expand margin, maintain our financial strength and return cash to shareholders. Now we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question, from the line of Scott Gaffner with Barclays Capital.
Scott L. Gaffner - Barclays Capital, Research Division: I was just looking at the organic guidance that you provided for sales growth, and if I look at it, it looks as if the organic guidance that you're guiding to for the fourth quarter is only moderately below where it was in the third quarter. First of all, is that a good way to read that? And secondly, do you expect better growth out of PSM or from RBIS right now in the fourth quarter?
Dean A. Scarborough: Yes, Scott. The RBIS is a stronger quarter for them, and we do -- we -- anyway. But I think they do have some headwinds last year on the pipeline still, which that -- we don't have that much forward visibility. But I'd say, fundamentally, we don't -- we're pretty much predicting the trend that we've seen in the first few weeks of October is very consistent with our guidance. So I think you're reading that correctly.
Mitchell R. Butier: Yes. And just the range because the guidance range we're giving on sales is the 0.5 point difference for the full year. And so if you take the low end of that, it actually would be -- if you can do the math from where we are in the first 3 quarters, it's 1.5% roughly assumption for the fourth quarter, whereas at the high end, it's closer to 4%. So pretty big range for the fourth quarter, given our lack of forward visibility.
Scott L. Gaffner - Barclays Capital, Research Division: Right. Okay. But when I look at RBIS, right, correct me if I'm wrong, but 4Q is generally the second strongest quarter for you. Can you talk about -- is the first half of the quarter more important for RBIS or is it the stronger part of that quarter? How do the trends normally play out in 4Q for -- specifically for RBIS?
Dean A. Scarborough: The season tends to start in September and kind of run through the end of the year. And December often is more impacted by the timing of Chinese New Year than anything else because what happens is, a lot of the apparel factories, of course, close for a week in either January or February, depending on when Chinese New Year is. So it has a lot more to do with that. So it's -- we're expecting -- I'm expecting a decent quarter for RBIS. Again, really tough headwinds with the overall growth rate. But the core business, I think, should be fine.
Mitchell R. Butier: We're talking relative to various quarters. So one thing to remember within RBIS, we do have tough comps in Q4 from the large RFID pipeline fill that we had that impacted Q3, as well as Q4 last year.
Scott L. Gaffner - Barclays Capital, Research Division: Okay. Fair enough. And then just lastly, if I look at Pressure-sensitive margins running at about a little over -- almost 10.5% year-to-date, obviously, the fourth quarter normally comes down a little bit. But if I look at that 10.5%, it's well above the 8.5% to 9.5% long-term guidance. Is there something in there that would suggest that margins come down over the next 2 years? And if so, what would those items be that would pull the margins back down to that long-term range?
Dean A. Scarborough: Yes, Scott. Actually, the target range that we put out was 9% to 10%, so we are above that. And that's something we're going to be looking at as part of our guidance range for -- when we come out with 2014 guidance in January.
Operator: Our next question, from the line of Ghansham Panjabi with Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: First on pension for 2014. Mitch, can you just provide some parameters on how to think about the cash sort of contribution, if any, just given what you said about being comfortable with where the pension plan is, both the $60 million you put in this and $50 million, I guess, from the Office Products sale?
Mitchell R. Butier: Sure. So just broader context. At the end of last year, the pension was underfunded status across all pensions globally with $400 million, and we did do a revaluation. And part of that was temporary, everybody expected, because discount rates were at an all-time low at the end of 2012. So we had about a $90 million adjustment from that, and with our additional pension contribution, the total underfunded status is now south of $300 million. So your question about implications to cash flow specifically for next year, we'll make -- we still have required contributions for the coming few years. The extra contribution we made is -- can be applied to next year's requirement. So we have some flexibility there, but that's a decision that we will make next year. And we'll provide more insight on that, Ghansham, when we give guidance in January.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then in terms of your share buyback program, just based on that residual amount post the proceeds from OCP and the pension contribution and, I guess, the parity [ph] as well. If you combine that with your net free cash flow and using our numbers, which are roughly basically where '13 is projected, you have the capacity to buy back almost 12% of your market cap. So can you just provide us some parameters in terms of your discipline associated with how you would decide to purchase stock and the timing associated with that?
Mitchell R. Butier: Sure. So as far as how we go through this is we basically try to triangulate around intrinsic value. Intrinsic value is a key part for us as far as determining when to buy stock. And then as far as how much, there's 2 things. Depending on where the stock is trading, given recent trends, we'll buy more or less in any given week. Overall, another key thing, though, is amount of volumes that you have. So Q3, for example, a very low-volume quarter for us, much lower than it had been for a while. And so we don't want the -- to -- just from supply/demand dynamics within any given week to really move things around one way or the other.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just finally, Dean, in terms of Europe, is this a debt cap bounce after a year? Is there sort of subpar growth or is there something more just broader going on in there in terms of the recovery?
Dean A. Scarborough: Ouch. I think the team is executing really well, actually. We've been -- most of this growth was in Western Europe. So I think the team has been focused on innovation and focused on taking some market share. We have not seen the market data yet from Europe, but generally, when I was over there talking to customers, they seemed more optimistic than they had in previous years. So I have continued good hopes. Clearly, 4% more than exceeded our expectations. The 4% growth that we saw there exceeded our expectations. But we're really pleased with it, and I like the team's execution. And I think there is more to come.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: And just to clarify, I meant the economy, not Avery, specifically.
Dean A. Scarborough: Okay. Well, good. Thank you.
Operator: Our next question, from the line of George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I wanted to chat a little bit about the trends you saw in September and the recovery in October. Was that both in RBIS and Pressure-sensitive or was it more weighted to one of the other -- one or the other segment? And can you talk a little bit about which end markets might have suffered the biggest slowdown in September? And have those been the ones that have recovered or has recovery occurred elsewhere to compensate?
Dean A. Scarborough: Okay. Complicated question. So let me start with RBIS. I would -- RBIS, there's enormous growth rate in September last year as part of that pipeline fill for a customer for RFID. Even with that, they showed a little bit of growth in September, which, for me, was a good sign. We did see some slowdown in the rate of orders for certain segments in the U.S.-based retailers, especially, I would characterize the department store segment and the mass merchandising segment as being softer than we expected. But we still had good performance in the fast fashion, as well as the performance athletic segments of the market. So for me, that was still a relatively good news. We performed very well in Europe, actually, across most segments, and a number of RFID programs kicked in a little stronger than we had thought. So that was a good sign. But really, RBIS was -- in the quarter, was very strong in Europe, moderately strong, I would say, in North America. Pressure-sensitive had a really strong quarter last year, so their comps were tough. But we definitely saw some softness in some of the end use markets, particularly the ones -- those markets that would use film products, whether it be in beverages or in health and beauty categories. And it's consistent with what I, at least, read so far in some of the earnings for some of the consumer packaged goods companies talking about consumer takeaway during the quarter. And so -- and we're starting to see some of that -- saw that business come back a little bit. And we've seen this trend before. Sometimes it just gets a little bit choppy, occasionally. And I would say, I'm not -- we're certainly not -- I don't have a deep level of concern, I would put it, but we're being probably a little bit cautious just watching the U.S. consumer and where they're spending their money. I think the fire drill in Washington over the last couple of months probably didn't help consumer confidence a whole lot. So we'll see how things progress.
George L. Staphos - BofA Merrill Lynch, Research Division: It's interesting, Dean, because it sounds like on the RBIS side, it was more of the mass or maybe more basic earner who seemed to be weakening in terms of their purchase of products that would demand RBIS. On the other hand, with some of the film products being impacted in PSM, those tend to go more towards higher end. So it seems like it's a little bit of a dichotomy. Would you agree or disagree with that?
Dean A. Scarborough: Not really. I mean, there are people who buy shampoo at Walmart, as well as -- or convenience drugstores, et cetera, et cetera. So I actually think it's consistent. Those products are sold in grocery stores, mass market. And what we've heard -- anyway, what we've seen is lower foot traffic, especially, I guess, at what you would call sort of the lower end of the income pyramid. So that was consistent to me. It does not look inconsistent.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. I appreciate that. One more question and I'll turn it over. Can you give a bit more color in terms of how the rollout of digital printing is helping the cost structure for the business in RBIS? And to the extent that you can comment, how much further ahead do you believe you are versus your peers in having that capability in your overall manufacturing network?
Dean A. Scarborough: Yes. We're not all the way there yet. We'll want to get to about 50% of our volume done digitally. So we're still installing presses and all that. But it's not just about the kit, to be honest, it's about how you manage the entire workflow from taking the order at the customer and basically not touching it until it gets to the press. And so there's a lot of software and data handling that happens. It's a lot more automated than what I would characterize as either flexo or offset printing. And so I think we're probably halfway to where we want to be now. And it's a good trend because customers, again, want shorter lead times, smaller orders. And it's just enabled us to do this more efficiently, not just on the press floor, throughout the entire order taking and handling process.
Operator: Our next question, from the line of Anthony Pettinari with Citigroup Global Markets.
Anthony Pettinari - Citigroup Inc, Research Division: You referenced changes in product mix in PSM in the quarter, and I'm wondering if you can give some color on that mix change that might have been -- might have pressured margins a little bit. And then as a follow-up to George's question on the consumer, you had pretty strong emerging market results there, and some other companies have referenced maybe a weaker consumer, certainly, in Latin America and maybe a little bit in Asia. Are you seeing any indications of that?
Dean A. Scarborough: As part of the second part of your question, I'd say, no, I don't think we've seen a material change in emerging market growth. We had strong results in South America. We had strong results in Asia as well. And so we haven't really seen an impact to that. I think fundamentally, in those markets, pressure-sensitive adhesive technology is taking share versus other forms of package decorations. So that trend is still happening, and as well as I believe we're likely taking some market share, relates back to your first question. We have focused on getting more competitive so that we can participate in some lower margin product categories, still very good business for us, and we're operating above our target margin operating range. So I feel like this has been a good strategy for us, and we're going to continue to do that. Part of our innovation program, by the way, is also to continue to take weight out of our products so we can offer materials that are thinner, that means we can be more competitive in some of those segments. So I think, again, it's a smart strategy for us, and it's driving good results.
Anthony Pettinari - Citigroup Inc, Research Division: Okay, that's helpful. And then maybe switching to RFID. I think you referenced 6% growth in the quarter and maybe 20% growth for the full year. If you were to strip out the impact of that -- the single customer that you didn't get that business this year, do you have a sense of what that full year growth would have been?
Dean A. Scarborough: 80%.
Operator: Our next question, from the line of Rosemarie Morbelli with Gabelli & Company.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: When you look at your results versus plans, you did touch upon the fact that Europe was better than you anticipated. Are there any other surprises that you had during the quarter, whether on a positive or a negative way?
Dean A. Scarborough: Well, I think we mentioned we were -- we have some concern about the North American results in Pressure-sensitive that was softer than we anticipated, and Europe was stronger. And RBIS, frankly, because of the tough comps, we weren't expecting as strong a result, but the team delivered extremely well in that environment. We didn't anticipate getting any growth in RFID, and we got 6%, so very pleased about that.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Okay. And then looking at Europe, several companies have mentioned Europe earlier today and the last few days of conference calls. And the impression is not necessarily homogeneous. Some comments are that they are seeing some improvements, others will say that, yes, they are seeing improvements for the balance of 2013. But when you talk to customers about 2014, then it is a whole different story, and it is not clear as to what the anticipation is vis-à-vis those customers. Could you give us a feel for what you are hearing?
Dean A. Scarborough: Well, the one benchmark that I do have is the label show where we participate, and there are a lot of label press manufacturers at the show. And they seem to be doing very well in terms of sales. So it appears to me that a lot of the European customers were buying new equipment for the future. So from that perspective, I took away that they were at least confident enough to put more capital in their businesses to work for the future. So I thought that was a good sign.
Operator: [Operator Instructions] And our next question, from the line of Christopher Kapsch with Topeka Capital Markets.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: I had a follow-up on the comments about some of the weakness in domestic Pressure-sensitive business in September. If you -- just curious, if you look at the supply chain into that end market and just simplistically thinking about you guys selling roll stock into converters, who sell to the CPG companies, who ultimately sell to the retailers, I was wondering, like, what's the lead time in terms of if a retailer is seeing weak foot traffic or if they see the consumer sort of in a de-stock mode? How long does it take for that to back its way up the supply chain to you and your orders into the -- you're shipping into the converters?
Dean A. Scarborough: Yes, Chris, that's a great question. I wish I had a precise answer. I'm going to guess a few months. It's really hard to estimate because, remember, we're selling, just in North America, probably to 2,500 label converters who are selling to probably 100,000 end users. And it really depends on the particular supply chain. Some companies react faster than others to those types of trends.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: Okay. And then just shifting more to RBIS and RFID, in particular. Just curious, when you lapped the comparison for the big adopter, when did they really curtail their sort of adoption or deployment? So in other words, when would you see the true underlying growth rate for your business come through a little bit more? I guess, is it second quarter or -- of next year?
Mitchell R. Butier: It begins in Q1 is when we start to see that. The toughest comps were September to early Q1 of last year.
Dean A. Scarborough: But I think the underlying growth rate, I'm going to say, it's really tough because the market is still small. When you get a big retailer decide to move quickly, it can influence the year-over-year cycle. But we've had several years in a row now of double-digit growth, and I'm going to say 20%, 30% is a good average to take over the next few years. And I could -- that could be on the low end, frankly. We just don't know. But I do feel like this -- it's not an if RFID is going to happen, it's how fast and what's the rate of adoption going to be. So I have a high level of confidence that this is going to be a great business for the future.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: Got you. Well, I have just a couple of follow-ups on that sort of adoption curve. If you're looking at -- you mentioned, I think, 7 major retailers that are looking at adoptions, and presumably, this is all focused on item level RFID, not sort of the bar code labels that also have an embedded inlay in them. And if you look at those and understanding that they're making that decision based on an ROI analysis, I'm wondering about the breadth of their deployment. Is it tending to be, if you have visibility into this, towards larger ticket items, like something -- like an apparel item that costs $20, $30, $50, $100? Or is it -- when Walmart had been adopting, they went down to very low-priced SKUs, but supposedly, they've throttled back on that. So I'm just wondering if the ROI case is based on these retailers that are adopting and supporting a breadth of adoption across items that even SKUs that are low-priced?
Dean A. Scarborough: So it's -- I would say there are about 3 factors that are important: one is the price. That's actually not the most important; the other one has to do with complexity of the SKU sets, so think about things like shoes or intimate apparel or jeans where you have an enormous variety of SKUs that are kind of hard to track; and then replenishment rate. Those 3 -- we actually have a formula, which I won't share, to help retailers understand, these are the key factors. What we find that happens, though, is retailers tend to start in certain departments, they get the ROI, and then they get some other incremental benefits in other areas as they move forward. And we've had one major retailer just going to go wall-to-wall because once you've started to tag 60%, 70% of your items overall, the retailer is just saying, "Well, I have such good inventory control now incrementally that extra cost isn't going to be bad." So -- and -- so, yes, those are the key factors.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: Got you. And then just finally on that. I mean, there have been some -- in the trade press, there's been some noise about a non-practicing entity, NPE, a.k.a. patent troll, which acquired basically a bunch -- a suite of -- a portfolio of micron technologies, RFID patents, several years ago, and some of the early adopters have reportedly been throttling back a little bit over the specter of litigation associated with that. It sounds like based on what you're seeing, this is not really having an influence on any sort of adoption trajectory for the industry as a whole.
Dean A. Scarborough: Well, certainly, it hasn't in Europe because it's not particularly relevant there. But I think these things tend to get resolved over time, and I anticipate that this won't be an issue for the long run.
Operator: Our next question is a follow-up question from the line of George Staphos, Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I just wanted to confirm, the guidance for the fourth quarter is -- the low end is predicated on your October trend or your September trend? And if I didn't get either of those right, if you could just recast it, that would be great.
Mitchell R. Butier: It's the September trend which we saw in the early parts of October, and October did see a little bit of an improvement from that trend, as Dean mentioned. But it's September.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. The next question I had, are you seeing any signs of capacity increases in coating, in pressure-sensitive? And for that matter, how are you set for coating capacity over the next 1 to 2 years?
Dean A. Scarborough: In Europe, of course, we had a European competitor announce some closures of capacities, specifically, I think, in Spain and in Switzerland. So we've definitely seen some activity there. There is a smaller competitor that's adding capacity in the U.S. And our capacity situation is just fine in mature markets. We're going to be adding -- we've just added some capacity in Malaysia. We're going to -- and India. We're going to add some new capacity in India next year and likely be looking at adding some capacity fairly soon in China as that business continues to grow.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. And then back to digital presses. So I'd ask, could you quantify, if not precisely, maybe directionally, or with some qualifiers, how this ultimately improves your cost structure within RBIS? And is it additive to the longer-term margin goal of 9% or is it supportive of that goal?
Dean A. Scarborough: It's supportive of the footprint reduction goal that we've announced. So digital printing takes up less space than, let's say, certainly, than offset printing. You don't have really any pre-press that you have to as well.
Mitchell R. Butier: They're more flexible assets.
Dean A. Scarborough: Yes.
Mitchell R. Butier: So less footprint relative to that output.
Dean A. Scarborough: So it's all been part -- it's all part of the strategy we have to move RBIS margins to the target range. So what I'm trying to do is help investors understand, we have a very clear set of milestones. Okay. We're at about -- we've reduced our footprint by 15%, on our way to get to 25%. Digital printing is supposed to be 50%. It's around 25% or 30% now. So -- but indicative that we believe we're on track to hit our margin targets as we promised back in 2012.
George L. Staphos - BofA Merrill Lynch, Research Division: That's great, Dean. The last question, just related to that. When did you say you get to 50%, having rolled out digital press throughout RBIS?
Dean A. Scarborough: When?
George L. Staphos - BofA Merrill Lynch, Research Division: Yes.
Dean A. Scarborough: Well, it should be close to 2015, actually.
Operator: Our next question is also a follow-up from Scott Gaffner with Barclays Capital.
Scott L. Gaffner - Barclays Capital, Research Division: Just one clarification. On free cash flow year-to-date, what is the -- you said the divested businesses were actually negative free cash flow year-to-date. Can you provide that number? And then also, is the $10 million to $15 million, I think that's what you referenced, $10 million to $15 million of additional cash on divestitures would be spent some time in the fourth quarter. Is that included in the free cash flow guidance?
Mitchell R. Butier: So the free cash flow guidance we have is for continuing operations, so that excludes any of that. The $10 million to $15 million extra I referenced was basically getting you from -- if you look at the exhibits behind the -- in the financial statements, you see we have $402 million of net proceeds now. I'm just saying we have another $10 million to $15 million to pull off of that. So that will drop down to roughly $390 million. As far as the negative free cash flow, there was negative free cash flow of about $40 million in the first half for those 2 businesses related to investments you make in working capital. If you will recall, OCP was a seasonal business, as well as we had some of the transaction -- pre-closing transaction costs within there as well. So that's why we lumped it all together because that wasn't really the operating level of free cash flow for those businesses.
Scott L. Gaffner - Barclays Capital, Research Division: Okay. And then just one longer-term question. As more and more sales move to e-commerce, what sort of impact should we think about that having on your business? I would assume you get less ticket if you don't have the in-store ticket anymore, but maybe you get more RFID sales. How do you kind of think about that change-over over time?
Dean A. Scarborough: Well, actually, Scott, it's a good question. Retailers don't change their branding or ticketing, whether it's sold in-store or online. And in fact, it actually provides some new opportunity for us because what's happening is that retailers want you to be able to buy things online and then return them to the store if you want to or even pick them up at the store. And so that requires, let's say, on a return, that item actually has to be reticketed. It happens a lot, especially when you buy stuff online, it doesn't fit or you didn't really like the color, et cetera, et cetera. And so what we found is that there's just no difference between the branding and ticketing. And we have come up with solutions to help retailers manage a more seamless interface between, again, their bricks model and their clicks model. Could be some upside for PSM, by the way. It means there's more bar code labels out there, so as people buy online and get stuff shipped in cartons.
Operator: And with that, we have time for one more question, and that will be from Christopher Kapsch with Topeka Capital Markets.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: Yes, just one follow-up on RBIS. You mentioned you're -- you felt like you're on track with your -- the progression towards your longer-term margin targets in that business. And I'm just wondering if -- as RFID grows at a higher growth rate than the core RBIS business system, if that's going to influence those margin targets at all, just -- as that business is growing, are those margins accretive to the overall segment or is it something that's just consistent with the targets that you already have out there?
Mitchell R. Butier: So they're absolutely consistent with targets. The targets we have out there are targets for 2015, which is only 2 years from now. And the -- so they're consistent, and the margins for RFID are comparable to the overall margins we have for the overall RBIS business. It's modestly higher, currently.
Christopher Kapsch - Topeka Capital Markets Inc., Research Division: Okay. And then one last one. You mentioned layering in some higher employee-related costs in that segment. Is that associated with a broader RFID adoption? Or what's driving that?
Mitchell R. Butier: No. That's just part of the fundamental to this business. This business, as we've talked about, is more labor-intensive than pressure-sensitive, and a lot of that labor is in the emerging markets where the wage rates are higher. So when we've talked about this business, forget restructuring and productivity, but this business needs to grow 1.5% to 2% to kind of maintain margins, if you will. That is because it needs that level of growth to offset the natural wage inflation headwinds.
Operator: Mr. Scarborough, there are no further questions at this time. I will turn the call back to you. Please continue with your presentation or closing remarks.
Dean A. Scarborough: Well, thanks, everyone, for participating today. I'm pleased with the excellent progress we've made so far this year. Our value creation formula remains straightforward. With modest top line growth, ongoing productivity improvements and highly disciplined capital management, we'll continue to drive double-digit earnings growth and solid free cash flow, most of which we'll give back to shareholders. I would like to thank the Avery Dennison team members for delivering another strong quarter. And thanks again for joining us today, and look forward to speaking with you again soon.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you, all, for your participation, and kindly ask that you please disconnect your lines. Have a great weekend, everyone.